Operator: Good day, and welcome to the Coeur Mining First Quarter 2025 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this conference is being recorded. I would now like to turn the conference over to Mitchell Krebs, President, and CEO. Please go ahead.
Mitchell Krebs: Good morning, everyone, and thanks for joining our call today to discuss our first quarter results. Joining me are Mick Routledge, Aoife McGrath and Tom Whelan, and we'll all be available to answer questions at the end of the call. Before we start, please note, our cautionary language regarding forward-looking statements and refer you to our SEC filings on our website. The first quarter highlights shown on Slide 3 summarize our solid start to the year, which led to the fourth consecutive quarter of positive EPS and another quarter of positive free cash flow. These were great outcomes considering the first quarter is expected to be our lightest quarter of the year, and we had several one-time and quarter-specific items that we had previously telegraphed. The combination of higher prices, the addition of SilverCrest's liquidity and a partial quarter from Las Chispas, along with Rochester's progress toward achieving steady-state and consistent performance from our other operations drove these strong results, which allowed us to eliminate nearly $130 million of debt and metal prepaid facilities in the quarter and leave us well positioned to achieve our full year guidance ranges. We're now set to accelerate the pace of further debt reductions based on strong anticipated silver and gold production growth from our balanced portfolio of five North American operations. This growth is expected to drive full year adjusted EBITDA to over $700 million and free cash flow to more than $300 million, which should leave us with a year-end leverage ratio close to zero. It was only a few quarters ago, when annualized adjusted EBITDA was only about $100 million. Free cash flow was negative $300 million, and our leverage ratio was over four times, which highlights the degree of change now underway at the company. Just a couple of other points before turning the call over to Mick. First, on Las Chispas the integration is proceeding smoothly. The operation delivered very strong high-grade production at extremely low cost during the portion of the quarter that we owned it. As we anticipated, the teams have gelled exceptionally well. On the exploration front, recent emphasis on near-mine drilling resulted in a significant discovery in the gap zone between the Babicanora and Las Chispas zones. In addition, several high-grade results have been received in and adjacent to the Las Chispas zone. Aoife will share some additional details on these developments in a few minutes. Second, in our interactions with current and prospective shareholders, one of the most popular topics is our thought process for deploying the accelerating cash flows we anticipate generating in the coming quarters. It's a great conversation to have, given the years of heavy investment that's been made to position the company like it is right when gold and silver prices are rising. Our Board is committed to pursuing ways to generate per share value for our shareholders, and we're actively engaged with them about how best to accomplish that while continuing to strengthen the balance sheet and reinvest in the business given the number of attractive opportunities that exist within the company. We look forward to continuing the conversations with our shareholders and with our Board, as we deliver on what should be a record year for the company and we'll provide more details as we have them. Finally, we published our 2024 responsibility report today, which is summarized on Slide 20. Being responsible stewards and acting with integrity and respect are central to our mission of pursuing a higher standard, and I encourage you to have a look and read about everything we've accomplished over the past year. Mick, over to you.
Mick Routledge: Thanks, Mitch. The addition of Las Chispas, Rochester's ramp-up and consistent contributions from the rest of the main states with the man headlines during first quarter. Before getting into the details of our good start to 2025, I'm happy to report that based on data, Coeur finished 2024 as the safest mining company amongst our peers in the United States, marking our third consecutive year of doing so. We take a lot of trade in our deeply entrenched safety culture, and we will continue to set the bar high in this critical area. Mitch mentioned the word balanced in describing our portfolio of mains and it bears noting that with the additions of Las Chispas and the expanded Rochester, Coeur's asset base has never been more balanced. With no single operation contributing more than roughly 1/4 of total revenue, that is quite a departure from past years when revenue from Palmarejo alone approached 50% of the total in some periods. The importance of having all mines making meaningful contributions, spreads operating risk and lends consistency and predictability to our overall portfolio. Going through the sites and starting with our newest Las Chispas. Partial first quarter production of 74,000 ounces of silver and over 7,000 ounces of gold was right down the fairway versus SilverCrest's budget. Daily average main production exceeding 1,300 tonnes per day was better than planned, bringing in higher margin ounces with Casper-owned for gold and silver coming to $744 and $8.38, respectively, for the period. Slide 7 provides a great remainder of how special Las Chispas is in terms of grade, cost and margin profile. Staying with Mexico, the Palmarejo team delivered another solid quarter. Gold production was up 2% and silver production up 9% compared to the fourth quarter, driven by good productivity in Guadalupe to finish the quarter strongly. The Palmarejo and Las Chispas teams are engaging with sharing of best practices and new perspectives taking place in both directions with lots of opportunities to realize efficiencies and productivity enhancements incurs expanded Mexico operations footprint, as well as sharing and working with our teams at Canning and Silvertip. Turning to Rochester. Crusher performance continued to improve with optimization of the male long 3-stage crushing circuit, and this remains job number 1. The team placed 7 million tons during the quarter relying less on director pad tons than in the prior quarter as more material goes through the crusher. The team continues to work down the line to identify and implement adjustments and modifications to progress improvements in availability. Recovery rates continue to track to predicted levels and are expected to trend higher as the average crush size trends down throughout the year towards an expected average of [indiscernible] of an inch, which is what our budget and reaffirmed full year guidance assumes. One of the note on Rochester, the team commenced the 8 million tonne stripping campaign for the partial removal of the Stage 1 and 2 reclaimed leach pads to allow for infill drilling later in the year, as we look to bring forward higher-grade material into Rochester's main plan. Moving to Kensington. Gold production increased by 6% compared to the first quarter a year ago, with the operation well positioned to reap the benefits of the multiyear investment in underground and main development and exploration and a return to positive free cash flow this year. Finishing up with Wharf. First quarter production came in slightly higher compared to the first quarter of last year as weather tends to pause challenges there during the winter months, but Wharf is well positioned to deliver another strong year in 2025. With that, I will pass the call over to Aoife.
Aoife McGrath : Thanks, Mick. Exploration got off to a very strong start in 2025, with as many as 21 rigs active in the quarter with encouraging results across the board. As a recap, the company's exploration investment in 2025 is expected to total $77 million to $93 million, of which approximately 85% is focused on expansion and scout drilling. At Las Chispas, the key aims were to complete the integration of the team and reorient exploration programs from the wider region, to a greater focus on the main asset. This integration has now been completed and programs aimed at maintaining a steady mine life are in place. You can see on Slide 9 more details about a notable new discovery that was made during the quarter of a new vein called Augusta, which to date has been defined over 200 meters along strike and 150 meters down dip. It is running multi-kilo silver, very high-grade gold and remains open in every direction. In addition to the highly encouraging discovery in the Gap zone, drilling on multiple veins on and adjacent to the Las Chispas block have returned high-grade intercepts that show increasing strike length on each vein. Early days at Las Chispas with very encouraging results from the outset. At Palmarejo, ongoing programs encompass the full spectrum of exploration from district scale target generation through to expansion drilling. A pilot program of high-resolution geophysics was flown in late 2024 and is proving highly impactful. Exploration can now more accurately identify the subsurface locations of favorable host rocks and structures, meaning scout drilling should assess targets more efficiently. An exciting structural study and mineralization review was also undertaken during the quarter, which shows consistent sales of mineralization across the district, indicating very high prospectivity in all four major belts, three of which are still under explored and are shown on Slide 10. The recently signed agreement gives us full access to the entire Guazapares ejido area that covers independency of Sur and the historic San Miguel and La Union resources, along with many other targets in the Guazapares trend in the Northeast of the claim block. Also of note during the quarter is the validation drilling that commenced independencies, drilling, testing the historic Fresnillo resources and their continuity from established veins and mines on core ground is proving highly encouraging with high-grade results in the corridor. At Silvertip, a brand-new geological model was completed, which is proving an exciting tool for targeting and exploration program planning. In addition, we more than tripled the land package at Silvertip in the first quarter by taking over 60 kilometers of strike length of prospective ground that has the same geologic setting is Silvertip. With that, I'll pass the call over to Tom.
Tom Whelan: Thanks, Aoife. I'll begin with a brief review of our 1Q financial results, our first quarter with the inclusion of Las Chispas albeit for only 45 days. Despite our lightest production quarter, we are proud to be able to report a fourth consecutive quarter of net income and a third straight quarter of free cash flow. With the previously telegraphed messy first quarter behind us, we look forward to a series of boringly predictable quarters as we embark on the final steps on our journey of achieving our deleveraging goal of net debt to EBITDA of nil. As noted on slide 11, with just under 90,000 ounces of gold and 4 million ounces of silver sold during the quarter, we got a serious sneak peek at what the consolidated core portfolio can generate in terms of financial results. Key financial headlines for the quarter included revenue of $360 million. Quarterly adjusted EBITDA of $149 million, net income of $33 million and free cash flow of $18 million. We were pleased to see our adjusted EBITDA margin increased to 41% during Q1, essentially doubling from the prior year. As we had flagged during the year-end conference call, there were several one-timers and first quarter specific matters totaling $130 million, which impacted our Q1 free cash flow. Slide 13 provides a clean snapshot of these five items. Helping to offset these outflows was the monetization of $72 million from SilverCrest finished goods and bullion balances we inherited on the closing of the transaction. The monetization did not flow through the revenue line but did positively impact the Las Chispas operating segment free cash flow. Excluding the monetization, l Las Chispas, Q1 free cash flow was $20 million, not too shabby for six weeks. It is important to highlight that absent these one-timers and first quarter specific items first quarter free cash flow would have been approximately $76 million. Based on our updated forecast pricing of $2,932 for gold and silver, respectively, we expect to generate, on average, $75 million to $100 million of free cash flow per quarter for the rest of 2025. Note 3 of the interim financial statements in the 10-Q provides the details of our preliminary purchase price allocation of SilverCrest. Three important accounting nuances that we wanted to highlight include: first, the inventory acquired in the approximately 150,000 tonne stockpile at Las Chispas was recorded at fair value, which will lead to higher cost applicable to sales as we monetize the inventory from the stockpile. We have disclosed Las Chispas adjusted CAS in the earnings to give you a sense of the accounting impact. Secondly, with just over $1 billion allocated to the mineral property and plant property and equipment of Las Chispas, expect higher amortization expense. And third, there are nearly $300 million of deferred tax liabilities which arose as a result of the purchase price accounting. These deferred tax liabilities will unwind as we amortize the mineral property and plant property and equipment balances, which will impact future income tax expense every quarter. It is important to note that none of the above items impact free cash flow, but they will impact net income. Slide 15 tells the story of Coeur's rapidly strengthening balance sheet, with the help of SilverCrest pristine balance sheet, not only did we use their finished goods and bullion balances to help offset an otherwise messy first quarter, we used the closing cash acquired of approximately $100 million to begin building our cash balances up to $78 million at the end of March, and we repaid another $85 million on our revolving credit facility, which at quarter end stood at only $110 million drawn. We expect that the remaining revolver balance should be repaid by the third quarter of this year and maybe sooner if prices can remain at these elevated levels. A significant benefit of this debt reduction is that we expect to cut our interest expense in half versus the 2024 level of $51 million. I'll now pass the call back to Mitch.
Mitchell Krebs: Thanks, Tom. Before moving to the Q&A, I want to quickly highlight Slide 17 that summarizes our top priorities over the remainder of 2025. With several key company catalysts now converging at the same time that prices are reaching much higher levels, we offer investors peer-leading leverage to both silver and gold and provide our shareholders with exposure to a rapidly strengthening profile as 2025 unfolds. We look forward to updating you as we deliver what should be a record year for KORE Mining. With that, let's go ahead and open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Wayne Lam with TD Securities. Please go ahead.
Wayne Lam: Yeah. Thanks. Good morning, guys.
Mitchell Krebs: Hi, Wayne.
Wayne Lam: Maybe just at Rochester, good to see the increase in tonnage through the crushing circuit. Just wondering when you would expect to see the benefit of that roll through the silver recoveries. And then just curious on the direct-to-pad material, is this quarter representative of the percentage of DTP material that you would expect on a run rate basis? Or would you expect that percentage through the crusher to increase as well over the coming quarters?
Mitchell Krebs: Yeah. Thanks, Wayne. I'll start and then Mick, you can add to my answer. Look, the team out there is doing a great job stepping up to this much higher mining and processing rate, 2.5x increase over prior years, whether it's at the mining, crushing, processing, refining Recoveries are tracking model. Grades are nicely ahead. We produced what we expected in the first quarter. We've kind of repeatedly proven to ourselves a crusher can do what we need it to do, both from a throughput and a crusher and a crush size standpoint. So we're pleased with how things are going. I think the budget and guidance are built off a 7/8-inch target. I think through the first quarter, that was at about 0.925 for the material that went through all 3 stages of crushing. So as we see that crush size continue to trend down, we'll see those recoveries continue to go up and confident that we can hit our full year guidance like we suggested in our release this morning. As far as DTP, that will likely decline as we go forward and as crusher availability continues to improve. But Mick, do you want to go ahead and answer Wayne's question further?
Mick Routledge: Yeah. And just to say, going forward, year-on-year that will decline on the DTP profile. But as we reported previously, we expected to put about 6 million tons of DTP through the pad this year and at 1.5% in Q1, we're around about the run rate that we thought we would be at. And on the crusher itself, as Mitch said, the recoveries are tracking the model. And as we see softer ores, it's great to have the flexibility in the crushing circuit that we didn't have previously, so that we can bypass that tertiary part of the crushing circuit and still provide the right tons to the pad. Overall, when I see the crusher working and the material going through all three stages of the crusher. We delivered about 70% of that material at 5% of an inch. So the overall blend and the target for this year at 78 [ph] of an inch is within reach, not quite there yet, but very typical challenges on a startup on equipment, this kind and this type. And we're dealing with all of those things, and I'm really happy about where we are today.
Wayne Lam: Okay, great. Thanks. And then maybe just at Wharf. Just curious on the stronger output this quarter versus the prior quarterly guide being significantly lower for Q1. Just wondering, what was driving the stronger performance versus the expectations, and if you might expect to see any bit of an offset to that performance over the coming quarters?
Mitchell Krebs: Mick, do you cover Wharf?
Mick Routledge: Yes. Whart, it's really just -- it's all about timing and where we are in the pit at any time. At the moment, we expect to deliver on the guidance at Wharf. For the full year, we've seen some great profile tweaks and some tonnage tweaks. But overall, because that's an on-off keep each pad type system, we are constrained on throughput and so overall, it's all about managing grade and getting the plan and Wharf is very predictable, I’m really happy about how it's performing, and we expect it to continue performing at that level.
Wayne Lam: Okay. Perfect. Thanks. And then maybe just one on the cost front. You guys had cited maybe a bit lower cost on consumables. Are you seeing any impact of maybe lower labor cost as well in Mexico? And then just maybe as an offset to that, can you comment on some of the cost pressures you may be seeing at Rochester and Kensington?
Mitchell Krebs: Yes, I'll start and then Tom, Mick feel free to chime in. I think with Las Chispas only having been part of the company for six weeks that labor cost differential is still to be seen. But given the employment increase that we'll see from us Las Chispas going forward that overall labor cost, we should see an overall benefit there. In terms of any real cost pressures, I mean, we've really not seen much at all. There's a good slide in the deck you might have Wayne. I think it's slide 16. It just shows quarter-over-quarter, whether it's looking back 12 months or back over 24 months. The declines have been pretty significant. So we're in really this nice sweet spot here where we're not seeing the cost pressures on the cost side, and we're seeing the margin expansion with the higher prices. And in fact, if you look quarter-over-quarter, our average realized gold price this quarter was 41% higher than the year ago quarter. Silver average realized price was, I think, 36% higher than the first quarter of last year, and our cost per ounce were essentially flat, right? So we're seeing that margin expansion big time that Tom alluded to in his comments. But Tom, anything else to add
Tom Whelan: Labor, again, for the most part across our asset base, we do annual raises in that first quarter and so those kind of help in that, especially across the U.S. side in that 2% to 3%. And I haven't experienced any particularly concerning trends around turnover. So, not kind of locked in to the year. And then we're watching diesel and cyanide and power costs and for the most part of their trend the right way. So, very apt with the cost guidance and nice to see us in the lower end of the range through the first quarter.
Wayne Lam: Okay. Perfect. Thanks for taking my questions and looking forward to the improvement through the year.
Mitchell Krebs: Yes, thanks a lot Wayne. Appreciate it.
Operator: The next question comes from Joseph Reagor with ROTH Capital Partners. Please go ahead.
Joseph Reagor: Team, thanks for taking the questions and congrats on the strong start to the year.
Mitchell Krebs: Hi Joe. Thanks Joe.
Joseph Reagor: I guess first thing on the inventory accounting, how long do you think it's going to take to work through the extra stockpiled ore inventory at Las Chispas to bring -- and what level do you expect that inventory number on the balance sheet to get back down to a traditionally it's been more in the high 70s versus the 220s now?
Mitchell Krebs: Tom's smiling that got an accounting question. Tom, do you want to take that?
Tom Whelan: Yes, the inventory -- the big increase in the inventory relates to the stockpile in front of the process plant at Las Chispas, so it's 150,000 tonnes, which think about that's roughly five months' of production. And so that balance will gradually go down as continues to mine, and we'll put new tons on stockpile the lower cost and that well complete the existing stockpile process all that material. So, you see that number come down and for accounting purposes, estimate that that will happen over the next year. In terms of materials and supply, we added a prudent level of inventory. The team at Las Chispas has done a great job of making sure they have the right amount of spare parts, et cetera, et cetera. And so you will see an increase on the balance sheet as it relates to the materials and supply, but we're not worried about that whatsoever.
Joseph Reagor: Okay. And is there like a rough target number you'd like to see that inventory be at year-end, total dollar number value?
Tom Whelan: I think we'll have to wait and see in terms of exactly how the material comes off that stockpile. And I don't think we have a particular target. What we have guided the team down at Las Chispas have done a terrific job. The integration is going so well. By the way, is to just deliver the budget that the SilverCrest Board had approved back in December for the year. So, no real specific target. And again, the value that's on that stockpile is, again, it's mainly driven by the accounting requirement to fair value it. So, this -- how the impact on our earnings as we deplete it, it's not going to have an impact on our free cash flow.
Joseph Reagor: Okay. Fair enough. And then a bigger picture question for Mitch. Now, you're in the process of digesting the SilverCrest acquisition. How do you think about M&A going forward? Is the next thing on the list to start reviewing potentially a sale of something, say, for Kensington? Or is it to look for more acquisitions? Or is there a temporary pause here for a period of time?
Mitchell Krebs: Yes. I think Tom's words – was boringly predictable or predictably boring either way. That’s what we want to do.
Tom Whelan: Boringly predictable.
Mitchell Krebs: Yes. We are going to be in the next -- at least for the foreseeable future. Our investors have waited a long time to see the benefits of all these investments that we're now tarting to be able to generate and point to and delivering on that is our focus. Of course, we'll always look at things that come across that we identify as opportunities that fit through our filters of North America and make us better, not necessarily just bigger and all those things, which really makes for a pretty short list. But in the meantime, what we have out in front of us is the company is pretty spectacular, and we've worked a long time to get to this point. So we look forward to just delivering on that and showing the kind of cash flows here in the coming quarters that we alluded to in our comments.
Joseph Reagor: Okay. That’s fair enough. I will turn it over. Thanks.
Mitchell Krebs: Yes.
Operator: The next question comes from Mick Siperco with RBC Capital Markets. Please go ahead.
Mick Siperco: Yes. Thanks very much for taking my questions. And I'd like to go back to Rochester, but maybe just to segue from the last question. Could you go into a little bit more detail on how you're thinking about Silvertip? I know you said accelerate resource growth and potentially invest some more cash in the Silvertip, but price would move quickly in the last three or six months. Does that change your thinking? And maybe conceptually, what sort of milestone should we be looking for as over cover the next couple of years?
Mitchell Krebs: Yeah. Hi, Mick. Thanks for the question. Look, we remain confident in the scale of the district here at Silvertip. And we're on the edges of a very large system, and that's why we tripled the --and package there in the first quarter that Aoife mentioned. We've been targeting and been, I think, talking over the last few months about sort of a five-year time frame to have Silvertip in a position to be a go, no-go construction decision. We all want Silvertip to turn into a cash contributor versus a cash consumer, but we also don't want to cut any corners. We need to go through the projects stagegate. We need to keep drilling to keep improving our understanding of the deposit, keep building critical mass at the resource to support the study work that we're going to be doing. We'll be kicking off an internal -- or an initial assessment here in middle part of the year, probably third quarter. And that should be completed later next year. That will give us some good sort of concrete information to consider next steps where we go from there. We have kind of built up our organizational capabilities to support the advancement of Silvertip, whether its on exploration team, making the project team overall leadership there. So we can devote some time and energy to better understanding what sort of funding or permitting the systems might exist to potentially enhance the economics or shorten that time table at Silvertip. But we're going to take some time and make sure we do it right goes to through the project stagegate, keep drilling. And while we do all that, we can continue to generate the free cash flow and do everything that we've got set up in front of us here from our other operations. So its interesting time to have a large and growing critical minerals project in Canada for sure. And so we'll start turning our focus a bit more to that than we have been now that we're in a better position to do so. Does that give you what you're looking for Mike?
Mick Siperco: Yes, that's good color. Thanks. And just to be clear, the initial assessment you were talking about that, that would be internal only, right, not a public document?
Mitchell Krebs: That's right.
Mick Siperco: Okay. And then if you go back to Rochester, I just want to make sure that I understand it. I know this has been a topic of conversation. What should we really be watching there in Q2 and beyond in terms of optimizing recoveries in the leach cycle and getting the operation to where you want it to be? Is it total tonnage crushed on the ratio between the two? Or is it really getting as much material down to 5? I mean I know it's a blend of all of the above, but if there's a metric that someone could look at and say, okay, we're on the right track or maybe we're taking a pause here what would that be?
Mitchell Krebs: I think it's crusher run time just availability. And as we do that, we'll see the other pieces fall into place. So I think that's, for me, the key metrics. Mick do you?
Mick Routledge: Yes. I mean, overall, in the long run, what target is to get to about 8 million tonnes placed on a pad on a quarterly basis. And as you saw, was about 7 million this time around, and that's improving. And that balance between DTP being pushed material, of course, want to crush as much as we can. And -- but our DTP product is valuable and we'll continue to deliver that through this year probably a little bit more through the middle part of the year and less at the back end. And then just seeing the performance here on the recovery curve as we see the size fraction come down, which we've seen so far, but we're tracking that. So you should see us continue to improve on that predictability and delivery of lower size fracturing tonnes to the part. And then a quarter or two quarters later you're going to see the network coming from that performance improvement.
Mick Siperco: Okay. So if we watch the -- you reported 5.1 million tons crushed in Q4, $5.5 million in Q1, should we be really watching that number? And if that number continues to move higher, that's how you see a high level at least that the crushing circuit is on the right track to deliver as much of that 7 million to 8 million tonnes as possible. Is that a fair way to put it?
Mitchell Krebs: Exactly, yes. If there's one number to watch, Mike, that would be the one.
Mick Siperco: Okay. Very good. Thanks. Thanks very much for taking my questions. I’ll pass it on.
Mitchell Krebs: Not at all. Thanks, Mike.
Operator: Thank you. [Operator Instructions] Our next question comes from Brian MacArthur with Raymond James. Please go ahead.
Brian MacArthur: Good morning and thank you for taking my questions. I apologize. I had sort of the same ones that we sort of asked, but maybe if I do it differently, first, Tom, on the accounting, I assume at Las Chispas what you've done is you written up the gold and silver inventory to value it like a $3,000 gold or something in whatever it was $31 silver. Is that the way I think about it from an accounting basis, and that's basically what you're going to run through the income statement. But obviously, the cash has already been consumed. Is that kind of what's going on there and you sort of calculate what the difference is between now we get up to that 218 million tonnes, there's like, I think, 60 million of gold and whatever it is of silver. Is that the right way to think about it?
Mitchell Krebs: Yes. You got it. So those -- all that -- most of the tons on that or all of the tons on that stockpile will flow through our income statement or we’ll make net income from them. That makes sense. We have to mark-to-market with a small estimate for -- it’s great all these accounting questions -- the cost to complete. So again -- but again, from a free cash flow perspective, there's no change and just has an impact on our net income. So I just want to highlight that.
Brian MacArthur: Right. And I think you were clear to on deferred taxes, there's nothing in there that you have to catch up on its all book accounting, the way things are allocated. Is that right is going to affect the consolidated tax rate but not the cash tax rate?
Mitchell Krebs: Exactly, exactly. And so perversely, it will have a positive impact to our net income as that deferred tax liability gets smaller when you take a credit off the balance sheet, it hits your earnings, so again that will make the tax rate a little wonky, and so happy to work with through that with anyone separately as you're trying to estimate out the deferred tax liability reversal in due course.
Brian MacArthur: Okay. And maybe just to put this to bad. I think what really after to make sure like obviously, there's been prepaid and a lot of other cash things on the balance sheet that had to be paid. Is it fair to say now, pretty well, that's all gone and what we see and what we get going forward as far as cash flow, there's no other catch-ups or cleanups or anything from a cash basis. Is that a fair comment?
Mitchell Krebs: That's very fair. Yes, it kind of cleared the decks here in the first quarter. What you have now is what we have left is what you see.
Brian MacArthur: Okay. Maybe just following-up on another question on Silvertip. But you said you talked about it five years, but the world has changed a lot. You're also presumably going to most of the debt down by the end of this year. Would it be fair to guess that you'd be more likely to pay a dividend or return capital through a buyback before big investments in Silvertip, and that be kind of the thinking still going forward, assuming we stay at commodity prices where we are today?
Mitchell Krebs: I think that's fair. Obviously, don't want to get ahead of ourselves or our board. But I think five years would be a long time to wait, especially after our investors have waited a long time already. I think, we -- obviously, we ended the quarter with $78 million of cash and $110 million on the revolver. Those things will change quite rapidly as we go forward here. And as long as we're continuing to reinvest in the business the way we plan to, at these prices, the free cash flow we anticipate generating, should leave some room to consider a potential return to our shareholders in the near term rather than waiting down the road to decide what we're going to do about Silvertip.
Brian MacArthur: Great. Thanks very much for those clarification. Very helpful.
Mitchell Krebs: No, thanks for the questions, Brian.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Mitchell Krebs for any closing remarks.
Mitchell Krebs: Okay. Thanks, everybody, for taking the time to talk with us today. We look forward to speaking again following the release of our second quarter results in early August. Thanks, and have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.